Operator: Hello, and a warm welcome to the Insight Enterprises, Incorporated First Quarter 2023 Earnings Conference Call. My name is Candice, and I will be coordinating your call for today. All lines have been placed on mute during the presentation portion of the call with an opportunity for question-and-answer at the end. [Operator Instructions] I would now like to hand the conference over to our host, James Morgado. Please go ahead.
James Morgado: Welcome, everyone, and thank you for joining the Insight Enterprises earnings conference call. Today, we will be discussing the Company's operating results for the quarter ended March 31, 2023. I'm James Morgado, Senior Vice President of Finance and CFO of Insight North America. Joining me is Joyce Mullen, President and Chief Executive Officer; and Glynis Bryan, Chief Financial Officer. If you do not have a copy of the earnings release or the accompanying slide presentation, that was posted this morning and filed with the Securities and Exchange Commission on Form 8-K, you will find it on our website at insight.com under the Investor Relations section. Today's call, including the question-and-answer period, is being webcast live and can also be accessed via the Investor Relations page of our website at insight.com. An archived copy of the conference call will be available approximately two hours after completion of the call, and will remain on our website for a limited time. This conference call and the associated webcast contain time-sensitive information, that is accurate only as of today, May 2, 2023. This call is the property of Insight Enterprises. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Insight Enterprises is strictly prohibited. In today's conference call, we will be referring to non-GAAP financial measures, as we discuss the first quarter 2023 financial results. When discussing non-GAAP measures, we will refer to them as adjusted. You'll find a reconciliation of these adjusted measures to our actual GAAP results, included in both the press release and the accompanying slide presentation, issued earlier today. Also, please note that unless highlighted as constant currency, all amounts and growth rates discussed are in U.S. dollar terms. As a reminder, all forward-looking statements that are made during this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today's press release and in greater detail in our most recently filed periodic reports and subsequent filings with the SEC. All forward-looking statements are made as of the date of this call, and except as required by law, we undertake no obligation to update any forward-looking statements made on this call, whether as a result of new information, future events or otherwise. With that, I will now turn the call over to Joyce. And if you're following along with the slide presentation, we will begin on Slide 4. Joyce?
Joyce Mullen: Thank you very much, James. Good morning, everyone, and thank you for joining us today. I am pleased to report that we delivered adjusted diluted EPS in line with our internal expectations in a market that was even more volatile than we had anticipated. We also delivered strong gross margin, adjusted EBITDA margin and cash flow from operations. As a result, we are confirming our full-year 2023 adjusted diluted EPS guidance range of $9.90 to $10.10. Our performance in Q1 reflects a combination of very strong cloud growth as well as growth within our solutions portfolio, primarily digital transformation, data, AI and cyber, consistent with the higher growth areas of the market. Gross profit grew 3% over last year, and we expanded gross margin to a Q1 record of 16.8%. We accomplished this despite a decline in net sales, primarily related to devices, partially offset by an increase in infrastructure solutions and 38% growth in cloud. As a reminder, gross profit is the best way to measure our performance due to the increase in the percentage of our revenue that is reported on a net basis. We also demonstrated additional leverage in our operating expenses and combined with our gross margin expansion, this led to adjusted EBITDA margin expanding to 4.3%. There is no doubt that the macroeconomic environment will continue to be challenging in 2023. In these uncertain times in the world of accelerated change, our clients need a partner with deep expertise they can trust to deliver innovative results fast. Although the IT market is normalizing after a few years of elevated growth, clients remain committed to digital transformation, leveraging technology, including large language models to improve efficiency, reduce risk, and deliver a better customer experience. As companies look to reduce costs as a result of the macroeconomic environment, the importance of tech enablement, automation and connectivity are greater than ever. These solutions require hardware, software, and services. This is at the heart of our strategy to become the leading solutions integrator. As a reminder, there are four key pillars underpinning the strategy that we outlined last fall at our Investor Day. First, captivate clients. This is a people and outcome-focused business. We pride ourselves on earning the right to do more by delivering high-quality and outcome-based solutions. And our investments in e-commerce and automation will allow our clients to transact with us more efficiently via self-service. This creates a seamless experience for our clients and frees up our sales teammates to focus on our second pillar, which is selling solutions. We are transforming our sales capabilities and aligning our incentives to focus on our solutions portfolio. We continue to streamline our account coverage to match skills with our clients' need and propensity to buy services. The theme here is really about focus, that is, doing a finite number of things and doing them really well. Our third pillar is deliver differentiation. This is all about providing innovative, scalable solutions through reusable IP, exceptional technical talent and our very compelling solutions portfolio. Again, we are focusing on our strengths that align with the fastest-growing areas of the market and the areas where our clients need the most help; cloud, data, AI, cyber and edge. And the fourth pillar is to champion our culture. This has been a strategic advantage for us, and we will continue to leverage our values of hunger, heart and harmony to evolve our high-performance culture. This is critical to attracting and retaining incredible talent. I'd like to share an example of applying our expertise and services to solve a significant business problem for one of our clients. Our client, a global logistics, e-commerce and business services company partnered with us to modernize their time consuming talent acquisition process. They had high rates of applicant drop-off, which led to increased cost due to attrition of the candidate pool. We re-engineered their HR recruiting process. We integrated multiple technology applications to create a seamless interface and implemented AI to evaluate the progress of candidates at various milestones to increase the effectiveness of recruiting over time. This led to a reduction of recruiting time by 20%, increased HR productivity by 30%, improve the candidate experience and retention, and importantly increase the quality of the client's talent acquisition. Our client was able to increase productivity through technology in a more seamless process, allowing them to improve the return on investment and improve candidate experience. This project has led to additional engagements, including improving supply chain projects and modern workplace services as well as consulting on additional process improvement projects using AI and machine learning. Our drive to deliver meaningful outcome-based solutions is not only recognized by our clients, but also the industry. We are honored to receive the 2023 Americas Retail Partner of the Year award from NVIDIA. As an elite partner, Insight collaborates to bring the best of deep learning solutions to clients. Insight consultants and engineers use NVIDIA expertise and resources to help clients gain a competitive advantage by leveraging AI and data analytics to solve business problems. Also, cybersecurity continues to be a top focus for companies, navigating their digital transformation journey. Insight was recognized by Fortinet as the 2022 Growth Partner of the Year. And we are proud that Insight was named as one of the 2023 Achievers 50 Most Engaged Workplaces! for demonstrated leadership in leveraging innovative teammate engagement and recognition programs. I am proud of the accomplishments of our team and the recognition we continue to receive. Equally important is that we perform and act in a responsible and ethical manner. We recently published our annual corporate citizenship report. This report details Insight's positive influence on the world around us and our continued focus on sustainability and diversity and inclusion. This report also highlights our teammates contributions to our communities. The report focuses on four areas of impact. Building a more sustainable world that describes Insight's work to reduce our own carbon footprint; our collaboration with partners on sustainability and the work we do with clients in this area; using technology for good; a look at the work we've done for clients that improves the lives of people around the world, fostering a culture of diversity and inclusion, while also providing opportunities and driving creativity and innovation in the workplace that encourages full participation by all teammates. And finally, leading with heart, which spotlights our support for teammates from an increased emphasis on mental wellbeing to flexible work programs, and our focus on improving the communities in which we operate. An example of the work that Insight does to promote a more sustainable world is a solution we developed for a large utility company in Australia. Our client had a proprietary wastewater network monitoring system that was expensive to maintain a required proprietary network infrastructure and hardware. Its aging infrastructure post security concerns, and prevented our client from implementing AI and advanced analytics. We built a wastewater monitoring platform on Azure IoT and created a solution to connect 30,000 devices for wastewater level monitoring. By leveraging our expertise to scale applications using low-code development techniques, we moved from an initial concept to operations very quickly. In addition to saving our client millions of dollars annually, we reduced our client's cybersecurity risk by replacing their aging platform, reduced vendor lock-in, and gained access to real-time data and improved data analytics. We also helped our client reduce energy consumption, reduce risk to public health, and prevent wastewater overflow, which has a detrimental environmental and social impact. Success with these projects led to a long-term services contract to manage their platform. We remained focused on our ambition to become the leading solutions integrator, and I look forward to discussing our progress as we continue our journey. With that, I'll turn the call over to Glynis to share the key details of our financial and operating performance in Q1 and our full-year outlook. Glynis?
Glynis Bryan: Thank you, Joyce. As Joyce mentioned, our results for the quarter were in line with our expectations in a challenging macroeconomic environment and demonstrate the resiliency of our operating model. The slide presentation includes details on our Q1 performance for the three geographic regions and our consolidated results. I'll focus on our consolidated results and the key highlights from our Q1 performance on this call. You will find the GAAP equivalents for our adjusted results and a reconciliation to the GAAP amounts in the investor presentation. In Q1, net revenue is $2.3 billion, a decrease of 12% in U.S. dollar terms, and 11% in constant currency compared to the prior year. This decrease was driven by a significant decline in devices, partially offset by an increase in cloud, networking and infrastructure. The decline in devices is as consistent with our previous comments indicating that we expected a significant decline during the first half of 2023 compared to the first half of 2022 when devices were up substantially. Despite the performance in devices, gross profit grew 3% year-over-year, primarily driven by cloud, which grew 38%. As a reminder, gross profit is the best way to measure our performance due to the increase in the percentage of our revenue that is reported on a net basis. Insight core services gross profit was $61 million flat year-to-year. This performance reflects lower integration and other services related to decline in devices, which was offset by growth in applications, data, digital enablement, networking and security. Gross margin was a Q1 record of 16.8%, an increase of 250 basis points, reflecting the higher mix of cloud, Insight core services and infrastructure products, which transact at higher margins relative to devices. In addition, our profitability and pricing initiatives also resulted in higher hardware and services gross margin. From a geo perspective, North America delivered a record 17.2% gross margin and drove our strong performance in gross profit. More details on North America and the other geo's can be found in our presentation. Our gross profit performance combined with our operating expense leverage, resulted in an adjusted EBITDA margin of 4.3% and increased 60 basis points. For the first quarter, adjusted diluted earnings per share was $1.78, down 2% in U.S. dollar terms and flat in constant currency year-to-year. This includes approximately $0.08 related to higher interest expense and lower outstanding debt in this quarter versus Q1 of 2022. In addition, the impact to adjusted diluted earnings per share from the warrants associated with our convertible notes accounted for $0.05. As a reminder, the guidance we provided in February included the impact of higher interest expense and partial dilution related to the warrants. As we previously discussed, with the slower growth in hardware in the first quarter, we generated $160 million in cash flow from operations in the first quarter compared to a use of $284 million in Q1 of 2022. And to update you on our share repurchase program, in Q1, we repurchased 913,000 shares for a common stock for a total cost of $117 million. As at the end of April, we have approximately $100 million remaining under our current 300 million share repurchase authorization. We intend to continue repurchasing shares to offset the diluted impact from the warrants associated with our convertible notes. We continue to evaluate our options relative to the convertible notes as well as the impact of the convertible notes on dilution and our share repurchase strategy. Our 2023 share forecast includes the net impact of share repurchases and anticipated dilution, assuming our share price increases throughout 2023. We expect to begin a $100 million share repurchase program in our open window after this earnings release. You will find an illustration of the convertible note dynamics in our investor presentation. We exited Q1 with approximately $1.6 billion of our $1.8 billion capacity available under our ABL facility, and we have ample capacity to fund our business operations and for capital deployment priorities. Since Q4 of 2022, with our strong operating performance, we have used $124 million to paydown our ABL and $117 million to repurchase shares. Overall, we are really pleased with the balance sheet strength. Further, our adjusted return on invested capital or ROIC for the trailing 12 months ended March 31, 2023 was 15.9%, an increase of 50 basis points from the prior year. Our presentation shows our trailing 12 months performance through Q1 of 2023 relative to the metrics that we laid out at our Investor Day in October. As a reminder, 2022 is our baseline for 2027 CAGR-based metrics. Since our last earnings call, we have seen a slowdown in our client's decision making due to the increased uncertainty in the macroeconomic environment. Considering this, we now expect a moderate decline in net sales growth for the year. However, we anticipate mid single-digit gross profit growth related to our business mix, product pricing initiatives and profitability improvements in our services business as we execute on our strategy to become the leading solutions integrator. We also implemented initiatives focus on improving operating expense leverage in mid-2022, and that has positioned us well going into 2023, and we will continue to implement further profitability and productivity initiatives, leveraging automation, investor capabilities as well as improving cash flow and preserving capital for critical initiatives. While it's unclear what growth will be in the IT space this year, cloud, data, AI and fiber have traditionally grown in the double-digit range. We believe the strength of our solutions portfolio, combined with our prudent operating expense and cash flow management should position us well to navigate through this business cycle. As we think about our guidance for the full-year of 2023, we expect to deliver gross profit growth in the mid single-digit range. We expect to be at the lower end of our previous guidance range of adjusted diluted earnings per share of $9.90 to $10.10. This outlook assumes a slight decrease in interest expense to $46 million to $50 million, an effective tax rate of 25% to 26% for the full-year, capital expenditures of $55 million to $60 million and an increase in the average share count for the full-year to 34.8 million shares, including estimated dilution from the warrants, net of share repurchases completed in the first quarter, and our planned future share repurchases under our current authorization. This outlook excludes acquisition-related tangible expenses of approximately $32 million, assumes no acquisition-related or severance and restructuring and transformation expenses, and assumes no meaningful change in our debt instruments or the microeconomic outlook. I'll now turn the call back to Joyce.
Joyce Mullen: Thanks, Glynis. We believe our broad portfolio of solutions provides us with the resiliency to navigate through the headwinds in this current macroeconomic environment. We are well positioned in the fastest growing areas of the market. We are executing towards our ambition to become the leading solutions integrator. We are passionately focused on delivering against our strategic pillars of captivating clients, selling solutions, delivering differentiation and championing our culture. In closing, I would like to thank our clients for trusting Insight to help them with their transformational journeys, our partners for their continued collaboration and support in delivering innovative solutions to our clients and our teammates for their commitment to our clients, partners and each other. This concludes my comments and we will now open the line for your questions.
Operator: Thank you. [Operator Instructions] So our first question comes from the line of Matt Sheerin of Stifel. Your line is now open. Please go ahead.
Matthew Sheerin: Yes. Thank you. Good morning, everyone. My first question is just regarding your hardware sales. It looks like hardware sales were down 20% year-over-year in North America, 23% in Europe. I know you said that hardware sales will be weak in the first half. Do you have a sense of when that bottoms? I think you originally thought it would bottom in the first half, seems like things have been incrementally weaker. So what's your outlook there both for client devices and infrastructure solutions?
Joyce Mullen: Thank you, Matt. Yes. So first of all, I just want to reiterate that we are really focused on selling very powerful IT solutions. So we experienced device softness in Q4 and we delivered pretty good results. We definitely had a soft quarter with devices in Q1 and still delivered on our internal targets. So while we – we have always been signaling that the first half was going to be pretty rough from a hardware point of view, especially a device point of view and that we would see some recovery in the back half of the year. We do still expect to see recovery in the back half of the year, although it's probably more like Q4 rather than Q3 from a device point of view. Our infrastructure business was pretty solid for the quarter. We saw some good growth there and we still have elevated backlog from an infrastructure point of view and we expect to see infrastructure remain fairly resilient through the year.
Matthew Sheerin: Okay. So the backlog, you think you have enough backlog to get you through the year in terms of growth in that area?
Joyce Mullen: Yes. Infrastructure, I mean, it's going to be flat to up a little bit. It's not going to be dynamic.
Matthew Sheerin: Got it. Okay. And then in terms of the gross margin, your guidance for the year implies that gross margin will be – should be significantly over 16% or so. Is that mix – do you see that mix favorable through the year or as client devices come back, would gross margin actually be down on a year-over-year basis by the time you get to Q4?
Glynis Bryan: Gross margin will not be down on a year-over-year basis in 2023. We anticipate that we'll see continued gross margin expansion. In Q2, as you know, it's our biggest Microsoft cloud/software-related quarter, gross margins will go up from where we were in Q2 as it relates to that cycle in our business, and we would expect that by which time we get to the end of the year, gross margins will be somewhere in the 17% range. Based on cloud, in terms of the overall portfolio and services, gross profit expansion and also the profitability and margin expansion we're getting through the profitability initiatives we put in for product last year that have shown benefit this year. Sorry for my voice.
Matthew Sheerin: Got it. Okay. Thank you for that, Glynis. And just my last question regarding the core services business, which was, I guess flat year-over-year. Are you expecting to grow that this year?
Glynis Bryan: We are expecting to grow that business. So when you look at our results, I think…
Matthew Sheerin: What will be the driver?
Glynis Bryan: What would be the driver? It would be the elements that we saw in the first quarter. So what happened in Q1 is that last year in 2022, we had very strong devices growth and that pulled a lot of integration lab work that we do for our clients before we ship out devices to them to meet their needs. We're seeing a slowdown and a decline in that lab's integration-related work this year. We're seeing expansion in data, AI, cyber, infrastructure, cloud, assessments, et cetera. We're seeing expansion there. We would anticipate that we would continue to see that assessment and we think that some of the integration work will come back likely in Q4, not really before then, but won't be as strong a decline on a year-over-year basis in the second half as it was in the first half relative to the very strong compare from 2022.
Matthew Sheerin: Got it. Okay. Thanks very much.
Glynis Bryan: Thank you.
Operator: Our next question comes from the line of Joseph Cardoso of JPMorgan. Your line is now open. Please go ahead.
Joseph Cardoso: Good morning, and thanks for the question. I just wanted to follow-up on one of the prior questions there. It sounds like you are seeing incremental weakness like some of the peers that have pre-announced today, however, just curious to hear how that breakdowns between your various offerings from a demand perspective, if we can just ignore backlog for a second here. Specifically, can you just clarify whether you're seeing steeper underlying demand weakness around devices? Or is that weakness starting to proliferate into like infrastructure, software and/or services? And then I have a follow-up. Thank you.
Glynis Bryan: Okay. So I think I'm going to reiterate what we said last quarter and we'll save for the first half of this year. Hardware will be down on a year-over-year basis on the first half strictly because of the compares that we had from 2022. We do anticipate some growth in hardware going through for the remainder of – of the back half of 2023. Specific to your question, we think that we will see – continue to see very strong cloud growth that we've seen so far. We will continue to – or we will see services gross margin expansion continue on a go forward basis. And yes, we will see infrastructure stronger in the first half, a little bit softer in the second half strictly related to compares on a year-over-year basis, but we still anticipate growth in infrastructure from a hardware perspective going forward, and services we would anticipate as we continue to deliver on the data, AI and more advanced solutions for our clients that we will continue to see gross profit and growth margin expansion there.
Joseph Cardoso: Okay. I guess maybe just switching to the next question.
Glynis Bryan: [Indiscernible] answered your question. Can I just go back for one second? We do anticipate the market is softer. Yes. We're not being blind to what's happening in the market. The market is softer. We took actions last year in the second half, kind of mid last year to start controlling our SG&A going into 2023. That's helping us out. As we go into 2023, we're very focused on where we spend our SG&A dollars. That's helping us ultimately in terms of what's happening. And Microsoft and Google, all of the – super – the hyperscalers have reported very strong growth numbers. Our cloud numbers are even stronger than what they've all reported. So I think we're in a good position to maintain the profitability of our business and control our infrastructure – control our SG&A cost.
Joseph Cardoso: Got it, Glynis. And then maybe just touching on that last comment you made just on SG&A. It seems like you're kind of pulling on that cost discipline again as you're reiterating kind of this earnings outlook despite the lower gross profit outlook. You know, some of the questions that I've been getting into this earning season around Insight was just how much of this OpEx cost discipline that you guys are kind of flexing here over the past couple of quarters, and even going forward in kind of what we're looking at this outlook? How much of that is more structural versus what we've seen historically from the company in terms of OpEx expansion versus perhaps maybe just variable cost in the model as you kind of enter, let's call it, a lower demand backdrop? Any color on that would be helpful.
Glynis Bryan: I think I would – I do understand your question. I think I would say that our cost discipline now is more structural than it is variable. Of course, hey, with declining volumes. We actually have declines in our commission expense, right? But that's not the biggest driver about what happens overall. We have made some structural changes first in our profitability at the gross margin line. So you see incremental gross profit dollars and incremental gross margin coming through related to the profitability initiatives we put in place starting last year, the pricing initiative that we've talked about with regard to both product and services or solutions. So those are the things that are kind of playing through. And from an SG&A perspective, the changes that we've made have been more around being very prescriptive with regard to the headcount and the talent that we're adding to the organization. You will notice that SG&A is a percentage of revenue increased in Q1. So we're not adding talent into our business. But I think the more important thing is that we've made a determination with regard to nearshoring, offshoring, bestshoring some of the functions that we've had that's also helping us as we go forward. And some of those things started last year, and you're seeing that roll through and be a benefit in 2023.
Joseph Cardoso: Got it. Appreciate the colors. Thanks.
Operator: Thank you. Our next question comes from the line of Adam Tindle of Raymond James. Your line is now open. Please go ahead.
Adam Tindle: Okay. Thanks. Good morning. I just wanted to talk about the maintaining of guidance, and it sounds like based on your answers there that embedded in that as an expectation that hardware is going to be down in the first half, but up in the second half. So if that's correct, I guess the flip side that we'll get pushback on from investors on that view is that we've been through a very, very strong cycle in hardware from a unit basis over the past year and a half or so. We maybe in for a period of slower unit growth, and with that could come declining ASPs or potential for deflation in hardware, making it incrementally challenging to grow in the back half. So I think you kind of understand the line of thinking or cause for concern. I would just be curious how you would respond to those concerns and what underpins the confidence that hardware will return to growth in the back half of the year other than the year-over-year comparison? Thank you.
Joyce Mullen: So I think Adam, first of all, I mean, the mix of our business is different than some of the other people that you're thinking about I think. Really for us, this is all about the IT solutions that are a combination of hardware, software and services. Glynis talked about the really impressive cloud growth that's obviously a big driver in the market and one of the fastest growing areas of the market, and frankly, a place where clients need the most help. Not just to move workloads to the cloud, but also to manage cost in this environment. And so we have really strong capabilities around that. And now we've got two quarters of pretty significant device decline in our history and we still deliver on our internal targets for EPS. So I feel like we've demonstrated consistently that we are not as dependent on devices as maybe one might think and that the strength of our solutions portfolio is pulling us through. So there is no doubt that cloud, data, AI, cyber are continuing to be really, really important to our clients in this uncertain environment. And so even though we don't believe that devices will sort of come back to growth until Q4, we're pretty confident in our guide because of the breadth of the portfolio.
Adam Tindle: Okay.
Glynis Bryan: And can I just add on to that? Go ahead.
Adam Tindle: No. Go ahead, Glynis.
Glynis Bryan: I was just going to say, we get the devices question all the time, and for us, devices is the lowest gross margin category that we have. So I sell a lot of devices at very low gross margin and our revenue looks great, my gross margin looks horrible, or it declines somewhat and then I use a lot of cash, I use a lot of working capital to support that. Our model is changing, our model is different. If you look at in the presentation, you will see that hardware as a percentage of our total is declining to 57% from what was 63% in Q1 of last year. That is a model that we believe is we can maintain on a go forward basis. The mix between hardware versus devices versus other elements of hardware will change over time. But I think we've demonstrated our ability to push through that and deliver expansion of gross margin and strong financial results.
Adam Tindle: Okay. That's helpful. And then maybe for Joyce. Just curious about the cadence of the quarter, I think there was kind of a view that things seemed to be going okay in January and February, broadly speaking across IT, and then all the Silicon Valley Bank, and banking crisis happened in March and things kind of froze. So just curious, what you saw in your customer base and in particular, trends that you're seeing here in April, if there's been any change in that cadence would be helpful. Thanks.
Joyce Mullen: I'm trying to think about the cadence during the quarter. I mean, certainly the noise level and the conversations did change with event failures and I'm certainly – I'm sure that contributed to some of the slower decision making that Glynis talked about. Generally though, I would say, we saw pretty consistent declines across – on the topline across the segments and pretty consistent flat to growth performance on the GP line across segments. That's a North American statement where we spent more time in looking at that. But so I don't – we didn't see a massive drop off in March, in terms of demand or bookings or anything like that. So I think it was a fairly consistent conservative quarter. Maybe the noise level cranked up a little bit in Q – at the back half of the quarter.
Adam Tindle: Okay. And in end of April, any change from relative to March?
Joyce Mullen: No, not much changing. I mean, March, yes, March is – I mean, I think March and April are looking pretty similar, Q2 is looking a lot like Q1.
Adam Tindle: Okay. Very helpful. Thank you.
Operator: Our next question comes from the line of Vincent Colicchio of Barrington Research. Your line is now open. Please go ahead.
Vincent Colicchio: Yes. Thanks for taking my questions. Curious, in your client segments, any differentiation in terms of demand trends from enterprises, public sector and the SMB sector?
Joyce Mullen: We're seeing a little bit more strength on the topline in public sector. The spending in the U.S. in particular is fairly robust. And then as I said to all – all of the rest of the segments are pretty consistently down on the topline and gross profit flat to up.
Vincent Colicchio: And Glynis, you had cited cloud, data, AI and cyber is traditionally growing at the double-digit level. Can you provide some sense for how large a portion of your revenue those areas comprise?
Glynis Bryan: I don't have a good answer to that. You can see the cloud pieces because we report that separately. So you can see the cloud GP contribution and then the data, AI elements would be part of our services business. We haven't actually brought those out historically. I'll look at that. Maybe we can give some context on that.
Vincent Colicchio: And one quick follow-up in those areas, is the labor market easing, helping, if you – growth in those areas?
Joyce Mullen: The labor market is easing the technical talent that we're looking at is a little bit easier to find than we have seen it historically. And we do think it's helping meet the demand that we have. I wouldn't say it's actually fueling the growth, but to the extent that we have the new deals that are coming in and new clients that we're – new projects we're initiating for clients, we can find the technical talent to support those projects.
Vincent Colicchio: Okay. Thank you.
Operator: Our final question comes from the line of Anthony Lebiedzinski of Sidoti & Company. Your line is open. Please go ahead.
Unidentified Analyst: Hi. Good morning. This is [Stefan Gill] on for Anthony Lebiedzinski. My first question is, at your Investor Day in October, you talked about portfolio simplification and sales transformation. Can you give us an update on these initiatives please?
Joyce Mullen: Yes. Sure. So from a sales transformation effort, we have made a significant turn. I think, we like to talk about how we are beyond transformation and now we're into execution. We're particularly excited about our sellers focusing on a more focused book of accounts so that they can go deeper with those clients, understand more of their – more of the opportunities to expand our share of wallet in those accounts and make sure we're delivering even more value to those clients. So we're feeling pretty good about the sales transformation efforts. And as I said, we've moved on from transformation into execution and that's going well. We are also continuing the work on our portfolio simplification that also helps with that same focus that I just talked about from a sales perspective, and also helps us build more capability around positioning those solutions and especially in the fastest growing areas of the market data, AI, cyber, cloud, edge. And so that work is ongoing, and we will continue throughout the year.
Unidentified Analyst: Thank you. And can you also talk about your cash flow priorities including acquisitions? Are you seeing lower multiples [indiscernible] activity?
Joyce Mullen: We are starting to see some movement in expectations from sellers, but it's very early. But that is – we are heartened by that. And so we expect that will be an important part of our strategy going forward. Do you want to talk about cash flow priorities?
Glynis Bryan: Yes. I think, as of right now, we have less than $200 million outstanding under our ABL. So we have a significant amount of cash that we could deploy as it relates to acquisitions given if we can find companies at the right price. And that fits our portfolio with regard to what the areas that we'd like to augment. And we anticipate that our cash flow will continue to be strong in 2023. We have seasonality in our cash flow associated with our business, but we would envision by the time we get to the end of 2023, that we would be probably at the top end, if not above a $220 million range for our cash flows that we talk about.
Unidentified Analyst: All right. Thank you.
Glynis Bryan: Thank you.
Unidentified Analyst: Thank you for taking my questions.
Operator: Thank you. As there are no additional questions waiting at this time, I'd like to hand the conference back over to management team for closing remarks.
Joyce Mullen: I think we're all set, and if there's no more questions, I think we're set. Good to go. Thank you all very much for your time and attention this morning.
Operator: Ladies and gentlemen, this concludes today's Insight Enterprises, Incorporated first quarter 2023 earnings conference call. Have a great day ahead. You may now disconnect your lines.